Operator: Good day, ladies and gentlemen, and welcome to the Kratos Defense & Security Solutions Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would like to introduce your host for today’s conference Ms. Marie Mendoza, Vice President and General Counsel. Ma’am, you may begin.
Marie Mendoza: Thank you. Good afternoon, everyone and thank you for joining us for the Kratos Defense & Security Solutions third quarter 2017 conference call. With me today is Eric DeMarco, Kratos’ President and Chief Executive Officer; and Deanna Lund, Kratos’ Executive Vice President and Chief Financial Officer. Before we begin the substance of today’s call, I’d like everyone to please take note of the Safe Harbor paragraph that is included at the end of today’s press release. This paragraph emphasizes the major uncertainties and risks inherent in the forward-looking statements we will make this afternoon. Please keep these uncertainties and risks in mind as we discuss future strategic initiatives, potential market opportunities, operational outlook and financial guidance during today’s call. Today’s call will also include a discussion of non-GAAP financial measures, as that term is defined in Regulation G. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in compliance with GAAP. Accordingly, at the end of today’s press release, we have provided a reconciliation of these non-GAAP financial measures to the Company’s financial results prepared in accordance with GAAP. With that, I will now turn the call over to Eric DeMarco.
Eric DeMarco: Great. Thank you and good afternoon. Over the past 20-plus years, the U.S. military has focused on winning the fight at hand, the war on terrorism in Afghanistan, Iraq and elsewhere. During that time, our nation’s adversaries have been investing heavily in new technologies and systems to catch up with and potentially surpass the United States and its allies’ national security capabilities. In response, innovation, technology infusion and recapitalization of systems to address peer and near-peer adversarial capabilities and U.S. operational readiness has begun and Kratos is well-positioned for this recapitalization with our proven ability to rapidly innovate, develop and field, leading technology systems at an affordable cost. As a result of these perceived threats, national security and defense related budgets are anticipated to increase globally, including for the U.S. and its allies. Kratos’ core business areas which we believe are closely aligned with today’s national security priorities, include our satellite communications business, where we are an industry leader in providing signal monitoring, intelligence, and command and control equipment, which supports approximately 85% of all U.S. space missions. We also own and operate a global terrestrial network, which monitors satellite signals and beams for our customers, whereby we can identify interference, jamming and other anomalies, and we geo locate where the source of these issues originate, so that our customers can take action and neutralize them. Unmanned Systems, we are the industry leader in high-performance jet powered unmanned aerial drone systems, which are utilized for tactical missions and adversary threat representation for operational readiness. Microwave electronics where we provide subsystems and components in support of electronic warfare, missile, radar, missile defense, ISR and communication systems. In ballistic missile defense, where we provide targets which represent ballistic missile threats of potential adversaries of the United States, like North Korea and where we provide specialized hardware in support of BMD systems, including Patriot, THAAD, Arrow, Barak, Iron Dome and Sling of David. Kratos is an innovator. And we believe that we have the right products at an affordable cost to address today’s global national security requirements. A recent example of Kratos having the right products to address today’s national security requirements was displayed just a few weeks ago at the multinational and NATO-led exercise, Formidable Shield ‘17, over approximately three-week period off the coast of Scotland. Formidable Shield 2017 was an integrated air and missile defense exercise, simulating real life threat situations where U.S. and NATO radar, ballistic missile defense, integrated C5ISR and other systems were tested. This exercise was supported by the United States Navy and Missile Defense Agency and multiple Kratos ballistic missile targets, high-performance jet powered unmanned aerial drone systems and other assets were utilized. With our success with Formidable Shield, our third quarter financial performance, and an increasing number of new opportunities that we are pursuing, we believe that Kratos is positioned as a leader in technology innovation at an affordable cost is a clear differentiator of our Company in today’s environment. For Q3, Kratos exceeded its revenue and EBITDA guidance. Kratos’ third quarter bookings as we expected were very strong, coming in at book-to-bill ratio of 1.2 to 1 across the Company. Our Q3 revenue and EBITDA trajectory and bookings indicate that we are on track to achieve both our Q4 and full year 2017 financial targets, and for 2018 revenue, EBITDA and positive free cash flow, all to be substantially greater than 2017. Additionally, as our business and revenue grows, generating leverage on our Company’s fixed cost infrastructure and with certain of our investments in the unmanned aerial winding down, we expect our profit margin rates to continue to improve in Q4 and into next year when all significant unfunded investments are expected to be complete. We also remain on track for Kratos’ Unmanned Systems business whose revenue to double from 2016 to 2018 excluding any potential upside from our tactical unmanned aerial drone business of which we have multiple development programs, either under contract or in contract discussions, and opportunities that we are pursuing, including several new opportunities since our second quarter report. Specifically stated, any production contributions from Kratos’ tactical drone business would be additive to the expected 2018 doubling of revenue generated from our UAS business from 2016 to 2018. As I discussed last quarter, in the unmanned area, as a result of competitive, national security-related and other factors, we are unable to discuss specifics on certain programs that we are involved in and that while we will be letting the financial performance of our unmanned business reflect the progress that we are making. Kratos’ unmanned business Q3 2017 revenues grew organically 127% over Q3 last year, and they grew 87% sequentially over Q2 of this year, with our Unmanned Systems business generating a Q3 2017 book to bill ratio of 1.4 to 1. In the third quarter, we received the first year’s production contract on the SSAT program for Kratos BQM-177 target drone, arguably the highest performance unmanned aerial drone system flying today. The SSAT program is expected to significantly ramp in production over the next three years at which time it will be one of the largest production programs in our Company. We recently met with our customer on the AFSAT program on Kratos’ BQM-167 unmanned target drone system on which we are currently in year 13 of production. Based on a recent customer meeting, we expect to receive the AFSAT award for production years ‘14, ‘15, and ‘16 on a sole-source basis in the second quarter 2018. Based upon indications from our customer, we expect to that the annual production quantities for production years ‘14, ‘15 and ‘16 which are expected to be delivered over the next three years or so, will significantly exceed the prior production three years’ annual deliverable quantities. We continue to deliver Kratos’ MQM-178 high-performance unmanned aerial drone system to U.S. government customer and multiple international customers. This aircraft achieved outstanding performance of the Formidable Shield 2017 military exercise that I mentioned previously. In Q3, Kratos’ UTAP-22, our Mako UCAS, successfully performed at a certain military exercise, which we were able to formally announce earlier this week and we expect a significant increase in funding for this program in 2018. Kratos’ LCASD program remains on budget and on schedule for completion of development and initial flights in the middle of 2018; and to-date, we have now received several spirals for scope and funding increases to address customer required enhancements. Kratos’ Gremlins program on which we are teamed with Dynetics and where Kratos is responsible for design and production of the UAS, remains on schedule and on budget with a down select of the final phase 3 winner expected in Q1 of 2018. We are also working on several other programs on our unmanned business, including a very recent opportunity with a new customer, which has the potential to be very significant for our Company. We are also hopeful of receiving a contract by the end of this year or early next year, for up to approximately 100 unmanned aerial drone systems from a certain customer, and we are actively in pursuit of several international opportunities for Kratos’ high-performance, jet powered unmanned aerial systems. In our Unmanned Systems business, a number of the programs we are under contract on, are funded from the science and technology line items of the DoD budget, which have a significant funding increase in the 2018 budget request. The DoD science and technology accounts are where some of our country’s leading innovation and rapid capability initiatives are located. Before the end of this year, we expect to formally announce the new engineering and production location for Kratos’ Unmanned Systems, where we have already made several key hires and a senior Kratos manager will be relocating. In summary, Kratos’ Unmanned Systems business returned to profitability in Q3 after a period of focused investment, and we expect this profitability to continue going forward with the expectation that 2018 unmanned revenue and EBITDA will substantially exceed 2017’s. Kratos’ largest business unit, satellite communications, cyber security technology and training, our Company’s greatest generator of revenue, EBITDA and cash flow had another very solid quarter in Q3, including our book-to-bill ratio of 1.3 to 1. Our current forecast indicates that this business which grew over 10% organically last year, will have a particularly strong Q4 including EBITDA generation based on our recent bookings, backlog and forecasted execution and delivery mix. In the 2018 DoD budget request, the space and satellite related funding lines received one of the largest increase requests over the prior year, which is directly related to the perceived threats to U.S. space capabilities. Major satellite programs Kratos supports, include WGS, AEHF, SBIRS, MOUS and numerous Small, Cube, Nano and other SATCOM programs and initiatives. Kratos’ microwave electronics business also had a solid Q3. And based on a current record backlog and expected delivery schedules, Q4 is expected to be by far this business’s strongest quarter of the year from both the revenue and EBITDA standpoint with the profitability mix for Kratos’ microwave business looking particularly strong for Q4. As you know and as I mentioned previously, a significant amount of the work that we do across our Company, supports ballistic missile defense programs, including Patriot, THAAD, Aegis, AMDR SBIRS, high-power directed energy lasers, Railgun, Iron Dome Arrow, Barak, and many others. In the 2018 U.S. DoD budget request, missile defense is another area where the expected 2018 funding is significantly greater than 2017. And Kratos’ missile defense related business is expected to have a strong Q4 and be a growth driver for our Company going forward. Kratos’ public safety and security system integration business generated a profitable Q3 with an adjusted EBITDA margin of just under 7%, reflecting improved overall performance with our change in focus towards higher margin programs yielding a gross margin and year-to-date new bookings of greater than 30%. Additionally, certain lower margin legacy programs are wrapping up and nearing completion, which also is aiding profitability as is the impact of cost reduction actions that we made in the first half of 2017. Based on current backlog, recent bookings, a strong bid and proposal pipeline, and the expected completion by the end of this year of substantially all legacy lower margin programs, 2018 profitability is expected to significantly exceed 2017’s profitability for this business. As you saw from today’s financial report, Kratos had a strong Q3; and based on third-quarter bookings and our current backlog, we’re expecting an even stronger Q4. Kratos is a unique technology-based growth company that has invested in innovation over the past several years with these investments now generating significant returns. As a result of these investments, Kratos is a leader and rapidly developing and delivering affordable products which address global national security priority areas. We believe the strength of Kratos’ model continued to be demonstrated with our third quarter results. As you know, Federal fiscal 2018 began on October 1st of 2017 about a month ago without a Federal or DoD budget being executed. We have been operating under a Continuing Resolution Authorization or CRA since that time which currently runs through December 8th of this year. In our effort to provide what we believe is conservative fourth quarter 2017 forecasting, which was in our Q3 release today and which Deanna will provide in detail, we have incorporated into our fourth quarter outlook, planning for a range that considers the potential outcomes of the budget process in Washington. The potential outcomes being 2018 budget is resolved by December 8th, another CRA is put in place on December 8th, because the government has a shut down in December. At the high-end of our range, we are forecasting an additional CRA at December 8th, through at least the end of 2017. At the low end, we anticipate some effect from the inability of government employees to visit our facilities to release product for delivery in event of the shutdown. The upcoming December date is much talked about and we have two thoughts on this. First, the U.S. government currently has a number of servicemen and women in harm’s way in Asia-Pacific, Middle East and elsewhere globally, and adversely impacting these people. This country’s top 1% in my opinion would be extraordinary, even with the current state of affairs in Washington. Second Kratos’ trajectory has been established by the investments we have made in leading-edge technologies and new market segments, our leadership in innovation and the resulting contracts and programs we have received, all of which ensure that this Company has an attractive future growth path, which we believe will not be affected by short-term noise in Washington D.C. In summary, we are extremely optimistic for our Company’s future, revenue, profit, cash flow and overall growth prospects and we are focused on executing our business plan. We currently plan on providing 2018 financial guidance with our fourth quarter earnings call, which is consistent with prior years and when hopefully there will be better clarity from Washington. Deanna?
Deanna Lund: Thank you, Eric. Good afternoon. Kratos’ third quarter 2017 revenues of $196.2 million exceeded our expectations of $180 million to $190 million for the quarter, due primarily to strong execution and deliveries in our satellite communications and training systems businesses, and our Unmanned Systems business with certain deliveries previously expected for the fourth quarter, coming in the third quarter. Year-over-year consolidated organic revenue growth of 18.6% was driven by growth across all of our reportable business segments with 10.9% in our satellite communications, technology and training businesses, as result of recent contract awards in these areas, growth of 127.3% in our Unmanned Systems business which was also driven by recent contract awards, and 14.3% in our public safety and security business, driven primarily by a security system deployment for a mass transportation authority. Our Q3 adjusted EBITDA of $14.5 million exceeded the high end of our expectation of $10 million to $14 million, due primarily to a favorable mix of higher margin work and shipments in our Unmanned Systems and microwave products businesses, and improved performance in our public safety business. On a year-over-year basis, our Q3 2017 adjusted EBITDA increased 7.4% or $1 million from $13.5 million in the third quarter of 2016 to $14.5 million in 2017. Our adjusted EBITDA for the third quarter is from continuing operations and excludes the following charges, which have been reflected as adjustments consistent with our prior presentations since we either believe the items are nonoperational, nonrecurring in nature or meaningful for investors to understand our financial performance. Restructuring related items and other $2.1 million, which includes $2 million representing excess overhead capacity, consisting of $1.4 million in our modular systems and $600,000 in our Unmanned Systems divisions. As production efforts are expected to ramp in our modular systems business, based upon new contract awards and production schedules, primarily for radar programs and as we continue to ramp up for low rate initial production on SSAT and the additional confidential program later this year, we expect the excess overhead capacity to decrease. As expected, the operating profit and adjusted EBITDA for Kratos Government Solutions segment had a less favorable mix of products sold during the third quarter. The Company expects a more favorable mix of revenues in the fourth quarter, based up on production and execution schedules, which is expected to result in higher operating and adjusted EBITDA margins for the Government Solutions segment On a GAAP basis, net loss for the third quarter was $4.3 million, which included the restructuring-related items and other, $2.8 million of expense related to amortization of intangible assets, and capitalized contract and development costs, non-cash stock compensation expense of $2.8 million and a $200,000 tax provision. On a last 12 months or LTM basis for the period ended October 1, 2017, revenues were approximately $732 million with LTM adjusted EBITDA for the same period of approximately $50 million. We believe this is a good indicator that we are on path for our updated 2017 annual guidance of revenues of $735 million to $745 million and adjusted EBITDA of $52 million to $54 million, especially with the expected deliveries and production schedules for the fourth quarter. Moving to the balance sheet and liquidity. Our cash balance was $239.2 million at October 1st, plus $200,000 in restricted cash. Kratos also had zero amounts outstanding on our bank line of credit and $9.2 million of letters of credit outstanding. Cash flow from continuing ops for the third quarter was a use of $5.4 million, which includes approximately $1.1 million of internal non-capital expense related development costs related to the LCASD program. Capital expenditures of $6.3 million were primarily related to investments we are making in our satellite communications and Unmanned Systems businesses. Approximately $3.2 million of the CapEx was related to the Unmanned Systems business, which is primarily related to the two LCASD aircraft and related equipment we are building for our own use. We expect this capital effort to be substantially complete in the first half of 2018. DSOs increased from 111 days at the end of the second quarter to 113 days at the end of the third quarter. Our DSOs continue to be impacted by milestone payments on long-term delivery projects where we are unable to contractually invoice for amount until the completion of certain milestones and/or the final delivery of products or the demonstration of certain flight parameters, specifically in our Unmanned Systems segment. We currently expect certain of these milestones that we have been closely tracking to now be achieved late in the fourth quarter quarters of 2017 or the first quarter of 2018, with collection expected in the first and second quarters of 2018. We had previously expected these milestones to be achieved in the third quarter with collection of the fourth quarter of this year. In addition, we have a number of billing milestones payments that are expected to be paid upon completion of the large critical infrastructure projects that are expected to be completed in the fourth quarter of 2017 and first quarter of 2018. In aggregate, these handful milestones in our Unmanned Systems business and public safety business is approximately $26 million to milestone28 million which is now expected to be collected in the first half of 2018. As we are now the prime contractor on sizable projects in our Unmanned Systems, public safety and training systems businesses, our DSOs will continue to be lumpy as the payment terms will be based upon achievement of milestones rather than progress billings. Our contract mix for the quarter was 88% of revenues generated from fixed price, 6% on cost plus and 6% on time and materials. Revenues generated from contracts with the U.S. government for the third quarter were approximately 60% including revenues generated from contracts with the DoD and non-DoD federal government agencies. We also generated 7% from state and local governments, 21% from commercial customers and 12% from foreign customers with our aggregate non-DoD revenues comprising 40% of our total revenues. Backlog at third quarter end was $798.9 million with $586.2 million funded and $212.7 million unfunded. This compares to backlog at second quarter end of $766 million with $544 million funded and $222 million unfunded. Our book-to-bill ratio was 1.2 to 1 for the third quarter and 0.9 to 1 for the 12 months ended October 1st. Today, we are updating the range of our full year 2017 guidance from $720 million to $740 million in revenues to $735 million to $745 million, and maintaining our annual adjusted EBITDA guidance of $52 million to $54 million with estimated fourth quarter revenues of $185 million to $195 million and adjusted EBITDA of $15.4 million to $17.4 million. Based on our production and delivery schedules, the fourth quarter is expected to be particularly strong. We are updating our free cash flow guidance for 2017 to a use of $51 million to $58 million, which reflects our current expectation of the completion and collection of certain milestones in our Unmanned Systems and public safety businesses of approximately $26 million to $28 million, which are now expected to occur in the first and second quarters of 2018. We expect our total CapEx to be in the range of $26 million to $30 million for FY17 with approximately $17 million to $22 million related to our unmanned aerial systems business. The balance of the capital expenditures is expected to be in our satellite communications and training and electronic products businesses to fund growth initiatives in both of these businesses. We expect our operating cash flows will be impacted by estimated investments of $7 million to $10 million, we plan to make to develop the LCASD platform to maintain the intellectual property that are not included in capital expenditures. As a reminder, the total estimated investment that is not related to capital was accrued as a forward loss accrual in the third quarter of 2016 when we were awarded the contract. Year-to-date through Q3 end, we funded approximately $6 million of non-capital LCASD investments. In summary, our estimated cash investment for the Unmanned Systems business for 2017 including the LCASD capital and other development costs is $24 million to $32 million, plus approximately $18 million to $22 million in other working capital requirement for our Unmanned Systems business to fund production ramps prior to milestone achievement for an aggregate cash outlay of $42 million to $54 million for our Unmanned Systems business, or substantially all the free cash flow use we are estimating for the corporation for the year. We expect that these cash investments for our unmanned tactical initiatives will be substantially complete in the first of 2018 and that we will return to free cash flow generation in fiscal 2018. Today we also reported in our 10-Q that we have completed our initial assessment of the impact of adopting the new revenue recognition standard, which is effective January 1, 2018. We expect that the cumulative effect of adopting this new standard will not be material with an estimated increase of revenues of less than $3 million and an increase in operating income of less than $2 million. Eric?
Eric DeMarco: Great. Thank you very much, Deanna. We’ll turn it now over to the moderator for questions.
Operator: [Operator Instructions] And our first question comes from the line of Ken Herbert from Canaccord. Your line is now open.
Ken Herbert: Hi. Good afternoon, Eric and Deanna.
Eric DeMarco: Good afternoon.
Deanna Lund: Good afternoon.
Ken Herbert: I just wanted to first ask, in the Government Solutions operating segment, the step down in operating profit, I think you attributed that to mix. Can you provide any me more detail, specifically on what that mix impacts was and maybe the -- some of the products that were -- shipments in terms of maybe a little softer than expected in the quarter?
Deanna Lund: Sure. Those both in our modular systems business, so that was impacted from an operating income perspective due to the excess overhead capacity issues and that was about 1.6 million -- 1.4 million, excuse me. In our satellite and communications business that was primarily a heavier mix of hardware versus software and licensing, which typically would be higher margin. We do expect those shipments, higher-margin product mix to occur in Q4. So, there was a fairly sizable impact during the quarter on that business unit. Those were the two primary drivers.
Ken Herbert: I think just so I understand correctly, you do sequentially and year-over-year expect to see growth in operating income in this particular segment, correct?
Deanna Lund: Ken, we don’t provide guidance on a segment by segment basis, just on a full consolidated basis.
Eric DeMarco: But, Ken, I want to reiterate what Deanna and I said in our prepared remarks. The mix in satellite in Q2 was very strong, the mix in Q4 looks -- right now, it’s shaping up will be the strongest quarter of the year; being product and delivery based on small production lots that include software and the firmware, it can just be lumpy. So, it’s just the timing matter.
Ken Herbert: And if I could just finally, on the unmanned segment. I appreciate the doubling of the business without any of the tactical opportunities. You did however mention Eric that you do expect some uptick in funding associated with UTAP-22 and I know you recently had some successful demonstrations there. Can you just provide an update on that particular program, maybe some of the technologies you recently validated and what you view as the potential sort of magnitude of what could be the upside there, heading into 2018?
Eric DeMarco: Yes. Ken, this is one of the programs that as I mentioned last quarter, going forward, we have to be very, very careful on what we talk about. So, I apologize, I cannot talk about what we validated and I’m not -- I can’t talk about what’s going on here. I apologize.
Ken Herbert: Maybe then, if I could just finally, on the legacy business, you have highlighted a number of opportunities around missile defense and the target side of that business, and I know there seems to have been a step-up in contract activity there for you. Maybe you can just talk into 2018 around missile defense opportunities and the upside you potentially see there as part of that step-up in unmanned?
Eric DeMarco: Absolutely. So, relative to missile defense on unmanned, Ken, is that where you are going? Is that it?
Ken Herbert: Yes, exactly, missile defense in general.
Eric DeMarco: In general, got it. So, missile defense in general, we are one of the two primary providers of ballistic missile target systems that are used to exercise from radar systems like AMDR, which we have had several successful tests recently, weapon systems, surface based, surface-to-air missile systems, one of which was validated at Formidable Shield. The OPTEMPO here is increasing significantly, it is expected to increase significantly for us going forward because of world events. We are a key provider on specific hardware on the Patriot, Missile Defense Battery; we are right now in a very large production run on Patriot batteries for our prime customer. There have been some large, recent awards for THAAD. We have historically been one of the key providers for THAAD related ground equipment. A very big one, fingers crossed that we’re going to get very soon has to do with the Barak-8 missile where our content is around $40,000 per missile and we’re hoping to get an order to begin the production run of several hundreds of these in the next couple of quarters. So that that missile defense system is a key system for us. That’s just a handful of the ones we’re involved in, Ken, that come to mind.
Operator: And our next question comes from the line of Mike Crawford from B. Riley. Your line is now open.
Mike Crawford: Thank you. Can you provide some color on how you’re progressing with SSAT production as you kind of move up the learning curve on LRIP1 production and what that could mean for margins in LRIP2 and for that [ph] production?
Eric DeMarco: Absolutely. So, we received LRIP1 at the end of Q2. We had expected to receive it much earlier in the year, possibly even at the beginning of the year, but because of the 2017 continuing resolution went almost six months, there was a new production start, we got it later than expected, we got it in…
Deanna Lund: End of June.
Eric DeMarco: End of June, June 30. So, as I believe I indicated on our Q2 call, we worked very closely with our customer and we leaned forward and we have placed orders on most of the long lead items on the building material including number one, the turbo fan engines. So, we are ramping up very quickly now on these first number of drones. Deliveries are going to begin next year. And we expect sometime in the middle of next year, depending, nothing crazy happens with the 2018 budget, to get LRIP2, which has an opportunity for significantly increase quantities. Those would overlap on top of LRIP1. So two things would happen, we’ll be coming down the learning curve, and we’ll be able to spread the fixed overhead manufacturing cost across a greater number of units, which hopefully will just increase overall profitability for the entire -- those entire runs. And then, currently, full rate production, which is expected to be even a greater number of units, is expected to begin in 2019 at which time greater quantities, greater learning margins would hope to increase further. And Mike, I don’t want to give any rates on that, right now, because we are still working some of these things with our customer.
Mike Crawford: Okay. Thank you, Eric. Related, when you started progressing down the path of all this internal R&D in the Unmanned Systems business, you took down what had been a third production line at CEi and have been running, just two, I believe, AFSAT and Firejet et cetera, and are you now back up to running three production lines in Sacramento, or still two in the R&D line?
Eric DeMarco: We are back at three and we are going to be full-blown at three next year in 2018. We are also doing the development programs there as well. So, this…
Mike Crawford: And then, in the past week, I think we saw the first production of a transaction agreement from the DIUX take one of these incubated technologies out, to the broader market, so this company worldwide technology for cyber security product employees management product. Is that something that you are looking for on the Mako as well?
Eric DeMarco: We are working on a number, Mike, of OTAs across the Company, with differentiated offices. It’s part of our strategy. And we are working on that type of vehicle with the customer that you mentioned. I don’t want to get ahead of any customers or anything here but that is the model we are pursuing, not just there but elsewhere across the company.
Mike Crawford: And then, one final question. In September your RT Logic business was named with number of other companies as part of the near $1 billion IDIQ for weapon systems research test and evaluation. Is that -- can you talk about what’s going on there at all?
Eric DeMarco: Absolutely, Mike. That is a -- we are looking that as a fantastic vehicle, not just for RT Logic but across our Company, based on the statement of work and the applications that are appropriate underneath that vehicle. This was a key win, our RT Logic guys, they are some of the best in the absolute Company and they drilled it this for the entire business. This is one -- I’m glad you are asking unless you and I both stay on top of this one going into 2018 and 2019, this could be another growth driver for us across many disciplines that are noted in that statement of work. So that was a good one that you picked up.
Operator: And our next question comes from the line of Mark Jordan from Noble Capital. Your line is now open.
Mark Jordan: Eric, you mentioned pro Formidable Shield free trials out in the North Atlanta in September and October. I know that there were multiple Firejets used in that exercise. Was Firejets used in that application because your of SSAT was not available or is Firejet a very viable alternative in the -- for military sales area for that type of training exercise?
Eric DeMarco: Good question, Mark. It is it is absolutely spot on for foreign applications as in Formidable Shield. QinetiQ put out a press release, they are a strong strategic partner of Kratos. QinetiQ has the 20-year CATS contract with the UK Ministry of Defense for their weapons ranges and providing them threat representative targets. QinetiQ’s press release talked about this was the first time that they are now providing those targets to the UK Ministry of Defense. This is -- I think they actually said in their press release that this is the most sophisticated target which it is in their inventory that they’re providing, the MOD -- the UK MOD. This is just one example where we see significant growth opportunities going forward. I was forwarded a briefing over the weekend on the high-performance target market internationally and globally. And Mark, very simply said, when you see friendly ally countries to the U.S. buying U.S. weapon systems, they want to exercise those weapon systems against the best targets, which are U.S. targets, which are Kratos targets because you know we deliver to the U.S. Navy, Air Force and Army. And right now, the Firejet is the tip of the spear for us. And it is -- we are selling it to a number of international customers. We just signed a contract, I can’t disclose who for, a number of them with an additional international party. So, you are spot on, on this relative to FMS and direct commercial sales internationally.
Mark Jordan: Okay. Could you comment on what your debt refinancing strategy and/or plans will be?
Eric DeMarco: We -- as you can imagine with our bonds now approximately 18, 19 months out in the middle of 2019, we are very closely studying alternatives for the Company, right now. The markets -- the debt markets, and our current contemplation would be a straight debt refinancing, debt for debt. The markets are very, very strong right now, and they are very strong for Kratos. You may have seen -- and Deanna will help with me here, recently the rating agencies that they upgrade us.
Deanna Lund: Yes. Shortly, after the equity, the last equity ratio that those agencies upgraded us.
Eric DeMarco: So, we’re -- Mark, we’re closely looking at this right now. Our net leverage right now is under 3 to 1. We have completely restructured and repositioned the balance sheet and we’re looking to take advantage of that as soon as practical.
Mark Jordan: Okay. Do you have a sense of the current debt load that you have? How much you would reduce that, $369 million of debt to -- in this next round and any sense of -- would you pay down a $100 million of that, and if so, what kind of drop in rate would you assume?
Deanna Lund: So, Mark, when we did the equity raise, our intention, stated intention was to use approximately $100 million of those proceeds to redeem or retire debt. So that’s still within the range of what our expectation is. As far as rate, it’s a little premature to discuss where we think it could end up at.
Eric DeMarco: Yes, depending on which path we chose…
Deanna Lund: Yes.
Eric DeMarco: If we went bonds or we went term debt or we went a bank, they all have their pluses and minuses of course. So, we’re looking at all that. And obviously, we’re in close communication with the rating agencies relative to that as well.
Mark Jordan: Yes. Just the final question, relative to the debt issues. Would it be safe to assume that you would like to implement some restructuring by the end of the first quarter of 2018?
Eric DeMarco: Mark, all things being equal, it would be great if we could have this all wrapped up by Q1? Absolutely, yes sir.
Mark Jordan: Final question for me is relative to DSOs and milestones. Obviously, when you had UAV customers singing contracts with you a year or so ago, your capabilities were not as demonstrated in the marketplace as they are today. Moving forward, as you sign contracts with customers, will you be seeing improved cash terms because your capabilities are demonstrated now and therefore being able to get cash earlier because there is less technology risk for the customer?
Deanna Lund: You are exactly correct. Especially with the most recent awards that we have been awarded, they are more progress billing focused rather than milestone focused, so yes.
Eric DeMarco: Yes. We are strategically moving more towards progress billing, Mark.
Operator: And our next question comes from the line of Michael Ciarmoli from SunTrust. Your line is now open.
Michael Ciarmoli: Maybe, just first on the -- just for clarity, the bookings front. That was the strong bookings in the quarter. You had the $65 million that flipped out the last quarter. I was just trying to get a sense, I guess the year-to-date is about 0.8 times or so. What areas of the business are you seeing weakness in the bookings?
Eric DeMarco: Our government services business. Our government services business, Mike, is about $70 million or $80 million, something like that. And those contract vehicles are typically three to five years. And so, when you win a contract, let’s say it’s a $30 million contract to book $10 million of it in funded and $20 million of it in unfunded, and that’s the booking. And so that cycles. And we have had very low bookings thus far this year in our government services business directly related to that. That bookings cycle starts coming back next year. But that’s what the number one downer has been, legacy government services contracting. [Ph]
Deanna Lund: Just to put it in more clear focus, it’s every business with the exception of that legacy government services business had a book to bill over 1 to 1 over -- for quarter. That clearly was it.
Michael Ciarmoli: And then, just Deanna, I want to make sure I heard you correctly, the free cash flow this year, given the collections, it’s going to be negative 55 million this year?
Deanna Lund: That’s correct.
Michael Ciarmoli: So, as we look into next year, the expectation is positive free cash flow, so you will get the pickup in the collection, presumably. I think Eric, last quarter, I believe you did a walk for us in terms of what some of the investment things that roll off. But I mean are we thinking an improvement over the $55 million? Can we get to -- is it just above breakeven or can you maybe quantify the level of cash flow to some extent next year?
Deanna Lund: Yes. So, Mike, let me walk that through what the investments have been this year. So, of that $51 million to $58 million of used this year, $42 million to $54 million of that is Unmanned Systems. So about half of that is CapEx, some of it is LCASD investment that is non-capital related. And then, there is about $18 million to $22 million related to milestones that will be collected next year. So, as Eric and I both mentioned, the investments in LCASD are winding down. To-date, we’ve invested about $6 million on the LCASD non-capital investment where the total we expected over time is $13 million to $14 million. So, there’s a little bit less for Q4 as well as some into 2018. The CapEx we expected on LCASD was about $15 million to $17 million; to-date, we’ve incurred about $10 million to $11 million. So, there is still some to be completed in the fourth quarter and in 2018. But clearly, the lion’s share of that investment was completed -- will be completed in 2017. So, in addition with those investments winding down and those milestones being collected, we’ve also entered into production on LRIP, which is progress billing focused and that was $37 million award that we announced at the end of June and that will be on a progress billing perspective. So, there’s a lot of -- as you can imagine on a number of the programs in Unmanned Systems, in 2017, they were in development. So, they were either at low margin, no margin or negative margin; and those are going to [ph] flip into profit in 2018. So, you’ve got both those waves, if you will, impacting total consolidated cash flow.
Michael Ciarmoli: Got it. That’s helpful. I appreciate that. And then, just the last one for me. Eric, on the doubling of unmanned, what is sort of -- when we look out to 2018, what would be the mix versus the target drones, the legacy CEi versus revenues from some of the newer programs, call them the intelligent tactical drones, if you would?
Eric DeMarco: It’s going to be 90-10, 80-20 something like that.
Michael Ciarmoli: Okay, got it.
Eric DeMarco: 90-10, 80-20 in that ballpark.
Michael Ciarmoli: Okay.
Eric DeMarco: And Michael, one thing I want to add on what Deanna said, very importantly. Our plan to make those investments is the only intellectual property in all the planes, which we do, so no one else can build them.
Michael Ciarmoli: Sure. No, makes sense.
Eric DeMarco: That was more of a commercial model.
Michael Ciarmoli: Yes. Since you brought it up with that commercial model, any idea what the margins might be?
Eric DeMarco: Yes. So, you can see this in our previous SEC filings. Before we started investing in tactical, our unmanned business was low-to-mid-teens. Then, we started investing in the tactical and in a couple of next generation target drones. As we saw in Q3 and as Deanna just explained, the investments have started coming off, we made $5 million of profit in Q3 in unmanned and they’re going to continue to come down. Production is increasing in a number of areas now. So we’re now heading into the up step.
Michael Ciarmoli: Got it, got it. Very helpful guys. Thank you very much.
Eric DeMarco: Thank you.
Operator: And our next question comes from the line of Sheila Kahyaoglu from Jefferies. Your line is now open.
Sheila Kahyaoglu: I actually did have a very similar question on unmanned and the impact of mix. Maybe could you parse that out a little bit further, Eric, on the moving pieces of unmanned and a significant improvement in earnings there?
Eric DeMarco: Yes. The two big pieces are investments we have been making in a number of drones are winding down. The only significant one we have going right now that’s left is LCASD. We completed the investments in all the other ones and they are flying or they are about ready to fly. And LCASD is going to be substantially done by the end of this year, completely done first half of next year. So, those investments are coming down and those investments were in drones that are now going into production. And so, we have got two foregoing here. The investments or those expenses are coming down and production and revenue is driving up and that is what is driving the profit, which I think last year our unmanned business in Q3 did $1 million in profit and this year it did $5 million, directly related to less investment, and the investment in the drones that we were making to go in the production are now going into production.
Sheila Kahyaoglu: And so, we think about the production aircraft for next year, is it just SSAT and AFSAT in terms of…
Eric DeMarco: So, let’s talk about the three primary target platforms. There is the 167. The primary customer for the 167 is the U.S. Air Force. However, we are selling it to multiple international customers, multiple. The primary customer for the 177 drone is the U.S. Navy. We have sold that to multiple international customers, and we expect that to start ramping up significantly internationally, now that the U.S. Navy is going into production. We have been selling the 178, the Firejet to the U.S. Army. But as I was -- as related to Mr. Jordan’s question, that is probably the drone that we are selling the most internationally. And so, all of those, to the three U.S. customers and the multiple international customers that are ramping, is what is driving at across those, and those are just target terms.
Sheila Kahyaoglu: And then, on public safety, was it a onetime contract, should we assume more of a normalized run rate for the business?
Eric DeMarco: In the public safety business, we’ve had four or five very large security deployments that we were awarded years ago. And so, Sheila, our strategy was when the Budget Control Act came in 2011 and the base defense budget was going down from 550, 560 to 480, we made a decision that we were going to start bidding on very large security deployments to offset that DoD revenue drop. And we won a number of them and our public safety business revenues went something like 130 to 210. When the bipartisan spending agreement was signed at the end of the 2016 -- at the end of 2015, excuse me, with the President and Congress, which basically shut off sequestration for 2016 and 2017, defense budgets were stabilizing at 530, 535 base. We made the decision not to bid on any more of those large deployments, and we actually announced that in Q3 of 2015 on the call. So, these four or five very large programs that are very, very low-margin, they’re winding down, and they’re going to be almost all 100% complete by the end of this year, one or two might go into Q1of next year, but they’ll all be done. And with those coming down, and we switched our strategy to bid on higher margin, pure system integration jobs, that’s why I mentioned our bookings. Thus far this year, our gross margin and bookings have been 30%. This is why our public safety business -- its profitability is now ramping. The big old legacy low profit ones are coming off and the new higher margin pure security system integration ones are coming in, and that’s why the profitability is ramping.
Sheila Kahyaoglu: Okay. So, this is a normalized run rate for profitability going forward?
Eric DeMarco: I’m going to say it’s normalizing, it’s normalizing. We’re going to head into Q4, but as I did say, next year, next year, we expect next year to be far more profitable than -- far more profitable than 2017 because of what I said.
Sheila Kahyaoglu: Sure. And just last clarification, for Deanna, on Mike’s question with free cash flow. Do we think about free cash flow swinging from negative $55 million to around -- it could be quite a significant frame to positive $20 million to $40 million next year?
Deanna Lund: Yes. I can’t give a number, Sheila, since we are not giving guidance yet for 2018, but we do expect it to be positive, especially in the second half of 2018. Clearly, in the first half of 2018, we still have some of these investments that we’ll be completing, but we should also -- that should be offset by some of these milestone collections that have been pushed out from Q4.
Operator: And our next question comes from the line of Josh Sullivan from Seaport Global. Your line is now open.
Josh Sullivan: Just a clarification question on the manufacturing footprint. If you do get that that 100-unit order, you mentioned in the prepared remarks or the other recent significant order, do you have the capacity in the current footprint to meet those orders?
Eric DeMarco: We’re comfortable that we’re good through 2019. However, as I believe I said on the last call, we’ve pulled in the new facility. We’re going to be signing those leases by the end of this year. We’ve already started hiring people. We have a key executive who’s agreed to relocate there. We’ll have the ribbing cutting by the end of this year. We’ll be up and running next year. So, we will have the flexibility, if some of these other bluebirds occur, but we can handle it. So, we are tracking this very closely as you’re very attuned to, Josh.
Josh Sullivan: Okay. Thanks for that.
Eric DeMarco: Yes.
Josh Sullivan: And then, I know you don’t want to talk about specific programs, but maybe on a learning curve basis, for the upcoming flight test on the LCASD. Can you talk about any commonality with the test you had maybe on the UTAP-22 or other platforms, flying these drones and swarms of other missions, is the learning curve maybe lower for LCASD, just given that commonality?
Eric DeMarco: Yes. Yes, sir.
Josh Sullivan: Okay. Fair enough. And then, I think you mentioned some investments on the training capabilities, can you dig into that, where are those investments being made?
Deanna Lund: Those are more of CapEx related.
Josh Sullivan: Any specific capabilities?
Deanna Lund: Nothing specific to talk.
Eric DeMarco: Yes. The big programs that they are related to are the KC-46 aerial refueler that we won last year, the Marine Corp Common Aircrew Trainer for multiple Marine Corp helicopters we won last year. Those are the two primary ones. Those are the two big ones that come to mind.
Deanna Lund: Most of the investments for that segment are primarily related to the satellite communications business, Josh, not as much so on the training side. They just happen to be all on the same operating division, but most of it is on the satellite side.
Operator: And our next question comes from the line of Brian Ruttenbur from Drexel Hamilton. Your line is now open.
Brian Ruttenbur: Yes. Thanks very much. Just one final question on timeline of events to watch for catalyst. It looks like the biggest one on the UAS division is the Gremlins in first quarter of 2018. What are the ones should we be watching for along the magnitude of the Gremlin?
Eric DeMarco: If we are fortunate enough to be successful on this approximate 100-unit drone award, that could happen by the end of the year Q1 and if that’s announceable, that would be a biggie. We are designed in on a fighter aircraft on the Electronic Warfare System. And our content is 200,000 to 250,000 per plane. We are keeping our fingers crossed. We are expecting our order for the first 100 aircraft in Q4, Q1. There is a missile system, were designed in, it’s 35,000 to 40,000 approximately 40,000 per missile. We are expecting our order for the first several hundreds of these, Q1, Q2. So, those are some of the biggies that come to mind.
Brian Ruttenbur: Okay. So, there is top four or five. Perfect. Thank you very much. And then, the last question. Plans to maybe streamline operations, focusing only on UAS, is there any thought about doing that or you are going to be a pure-play player versus these other divisions?
Eric DeMarco: We are very focused and we are going to be more focused than ever on satellite communications, microwave electronics, Unmanned Systems, and our training business which is just ripen. I mean that $100 million contract we just won was fantastic. So, those are the four that have done great and they are really well-positioned.
Operator: Thank you. And at this time, I’m showing no further questions. I would like to turn the call back over to Eric DeMarco, for any closing remarks.
Eric DeMarco: Great. Thank you all for joining us this afternoon. And our next scheduled chat will be when we report Q4, I think at the end of February or so. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a great day.